Operator: Ladies and gentlemen, thank you for standing by. Welcome to The Wendy's Company Earnings Results Conference Call. I will now turn the conference over to Peter Koumas, Director, Investor Relations. Please go ahead, sir.
Peter Koumas - The Wendy's Co.: Thank you, and good morning, everyone. Today's conference call and webcast includes a PowerPoint presentation, which is available on the Investors section of our website, www.aboutwendys.com. Before we begin, please take note of the Safe Harbor statement that appears at the end of our earnings release. This disclosure reminds investors that certain information we may discuss today is forward-looking. Various factors could affect our results and cause those results to differ materially from the projections set forth in our forward-looking statements. Also some of today's comments will reference non-GAAP financial measures, such as adjusted-EBITDA, adjusted-EBITDA margin, adjusted-earnings per share, adjusted-tax rate, free cash flow, and systemwide sales. Investors should refer to our reconciliations of non-GAAP financial measures to the most directly comparable GAAP measure. Our conference call today will start with an update on key initiatives from our President and Chief Executive Officer, Todd Penegor, followed by a review of our second quarter results and full-year outlook by our Chief Financial Officer, Gunther Plosch. After that, we will open up the line for questions. With that, I will hand things over to Todd.
Todd A. Penegor - The Wendy's Co.: Thanks, Peter, and good morning, everyone. Jumping into the second quarter highlights; on the top-line, this is our 18th consecutive quarter of positive same-restaurant sales. North America increased 3.2%, or 3.6% on a two-year basis. We continue to execute towards our global expansion plans by opening 35 new restaurants in the quarter, and have opened 68 restaurants year-to-date. After a strong first half, we are increasing our 2017 net new restaurant development outlook for International. And we remain committed to growing our global pipeline as we move forward into the future. Global systemwide sales growth continues to outpace same-restaurant sales, behind our restaurant development achievements with a 4.6% increase in constant-currencies in the second quarter. Image Activation momentum has continued with 36% of the global system, now on the new image, at the end of the second quarter. And we remain on track to achieve our 2017 target. We facilitated 294 Buy and Flips during the second quarter, as we continue to strengthen our system by putting restaurants in the hands of strong operators, who are committed to the long-term growth. Included in the 294 Buy and Flips were the DavCo-NPC transactions, which I will give additional details on in a few minutes. We continue to focus on driving an improved quality of earnings, that results in predictable, sustainable growth, and are proud of the 36.2% adjusted-EBITDA margin we achieved in Q2, which was a 940 basis point improvement from the prior year. Driven by our positive performance in the second quarter and improved outlook, we are increasing our 2017 adjusted-EBITDA guidance for the second time this year. GP will provide further details on all our guidance elements a little later on. Driven by a strong and balanced promotional calendar, we were able to deliver solid same-restaurant sales growth in the quarter. We are proud to be the first national QSR restaurant to serve Fresh Mozzarella by introducing the Fresh Mozzarella Chicken Salad and Sandwich. This product duo expanded Wendy's flavor profile, while also continuing to highlight our dedication to freshness. We followed-up the Fresh Mozzarella offerings by highlighting the Strawberry Mango Chicken Salad. As with all of our salads, it begins with full heads of fresh lettuce, they are spun and hand-chopped daily in our restaurants. Year-after-year, we continue to introduce craveable, seasonal summer salads and have set the gold standard for QSR. Our emphasis on fresh never-frozen beef, remained a key message in Q2 by promoting one of our classic sandwiches, the Baconator. Fresh oven-cooked bacon and beef raised so close to our restaurants that it never needs to see a freezer is what makes the Baconator so delicious. We also have to pay tribute to all of our social media successes throughout the quarter. Our brand continue to leverage big moments on social media that drove significant attention and engagement to the brand. Most notably being Nuggs For Carter. The tweet about Wendy's Chicken Nuggets surpass 3.6 million re-tweets making at the most re-tweeted tweet ever and has been one of the most popular trending media stories of the year. We have discovered that our best work has always been around our food quality, and the way we do things just a little bit differently than our competitors. And you will continue to see Wendy's bring that to life on social media. All of our efforts, including these promotions and our consumer communications have been resonating well and according to the NPD Group's sales track weekly, our same-restaurant sales outperformed the QSR Sandwich category for each of the 13 weeks in the second quarter. Additionally, looking back even further, we have now held or grown traffic share in the QSR Hamburger category for the last seven consecutive quarters. As I mentioned earlier, we opened 35 new restaurants across the globe, with 10 coming from North America and 25 in our International markets. Net of closures, we opened 13 restaurants globally in the quarter. North America was slightly negative from a net development perspective, mainly due to the pacing and sequencing of closures within the year, which were partially related to the DavCo-NPC transactions. We remain committed to our net new unit growth target of approximately 1% for 2017. Driven by momentum in some of our key markets, International opened 24 net new restaurants in the second quarter. And we have increased our 2017 net new unit growth target from 12.5% to 14%, growing our International business to 500 restaurants by the end of the year. Behind our focus on restaurant level economics, along with our innovative design finding solutions for all trade areas, joint capital planning, development commitments, and the new restaurant incentive structure, we are confident we can build on our momentum throughout the rest of 2017 and into the future. We continue to make progress towards our Image Activation goals, with about 36% of The Wendy's system now image activated. On average, we are image activating about 10 restaurants per week and we continue to expect to be 42% complete by the end of this year. Image Activation provided tailwind of 70 basis points to our North America same-restaurant sales in the quarter, and we continue to expect IA to provide a tailwind of 80 basis points for the full year. A balanced marketing approach contributing to consistent same-restaurant sales growth, new restaurant development, and the reimaging of existing restaurants are all key factors that will enable us to achieve our 2020 target of $12 billion in systemwide sales. In North America, systemwide sales growth outpaced same-restaurant sales by almost a full percentage point, driven by the positive benefits from our new restaurant development. Internationally, we showed great year-over-year improvement of 16.4%, driven primarily by strong net new unit growth along with organic same-restaurant sales growth. The company's strategic efforts to strengthen our franchise system and improve the quality of earnings through net rental income and franchise fees are on track by facilitating 294 Buy and Flip transactions in the second quarter. As mentioned previously, during the quarter, we completed a series of transactions of strategic importance by acquiring 140 restaurants in the Maryland, Virginia, and Washington, D.C. markets from DavCo, which we immediately sold to NPC. We are excited about NPC's commitment to help these important growth markets reach their full potential through aggressive reimaging, building new restaurants, implementing key in-restaurant technology, and starting to participate in national programs. We also finalized the Cedar's Buy and Flips that began in Q1, which spans six markets and included over 200 restaurants. As part of these transactions, we brought in three new franchisees, who are all great operators, well-capitalized, and focused on growth. We are now more than 85% complete versus our target of approximately 475 Buy and Flips, which includes the completion of these significant transactions. This speaks volumes to the strength of our team and what they have been able to accomplish so far this year. Everything at Wendy's centers around delivering on our brand promise of delighting every customer, period. In order to achieve this, we have to be focused on providing great value, investing in the quality of our food, delivering exceptional service, and elevating our restaurants. We are proud of our fresh and honest ingredients that help create food our customers love. We have invested heavily in improving our chicken quality and customers have responded positively. Our relentless messaging on fresh never-frozen beef is paying off. 5 out of 10 consumers now recognize this quality advantage, up from 3 out of 10. We understand the importance of competitive prices in our restaurants and how that drives customers to feel Wendy's is worth what they pay. By utilizing a high-low marketing strategy and focusing on driving profitable customer count growth, we can continue to improve this metric. Offerings like the 4 for $4 and $0.50 Frosty in combination with our core menu items and LTOs, like the Queso Trio, are great examples of how we execute this game plan. Lastly, behind our focus on service excellence and leveraging the voice of the customer, our customer experience evaluations and our customer experience playbook, we have seen steady improvement in all drivers of customer satisfaction, as well as improving the consistency of experience across the system. Moving forward, technology will play a key part in creating an experience that brings our customers back and we are working hard to make sure we continue to progress down this path. Kiosks continue to be a focus for us and we believe they can provide tangible benefits for the company and franchisees. Kiosks can drive additional throughput during peak hours, improve the overall customer experience and provide labor leverage. We are now expecting to have kiosks in approximately 300 restaurants by the end of the year. This is a step down from our prior expectations, but we are confident we can continue to accelerate installations through the remainder of the year and carry that momentum into 2018. For mobile ordering, we are moving rapidly to ensure our restaurants are mobile ordering capable and now expect to have 75% of the North American system completed by the end of the year. Mobile ordering has the potential to unlock additional opportunities around loyalty and coupons, convenience through delivery and curbside delivery, and enhanced overall experience for the consumer by improving the ordering process. We have completed our initial test phase of delivery in the Columbus and Dallas markets and are encouraged by the early read on the results. The numbers point to delivery orders having a level of incrementality and also leading to a higher average check. The highest number of orders occurred during the lunch day-part, but the most growth was seen in the evening. We are planning on extending delivery into additional markets in the coming months to continue to learn more about how delivery can play a bigger role in our long-term strategy. The key for delivery going forward will be to ensure that the consumer economic model, the restaurant economic model, as well as the operational aspects are all optimized to create a scenario where all participants benefit. All the layers of our consumer-facing technology initiative ladder up to our unique operating model. Our food has always been prepared fresh and when it's ordered. So we are well-equipped to handle all the customization that comes along with these ordering channels. We aren't just focused on taking orders faster, but we are committed to continue to get customers out the door as fast as we always have. We're still in the early innings, but excited about where technology can take us. Now, I'll pass the presentation over to GP, to take you through our second quarter financial highlights.
Gunther Plosch - The Wendy's Co.: Thanks, Todd. Company restaurant margin came in at 19.6% in quarter two, which as expected was a decrease, compared to the second quarter of 2016. The decrease was a result of higher labor costs as well as higher commodity costs, which were driven by our investment in higher chicken quality. G&A expense was $51.3 million in quarter two, compared to $61.1 million in 2016. The 16.1% year-over-year decrease was mainly due to savings from our system optimization initiative, lower professional fees and legal reserves, and year-over-year decrease in incentive compensation accruals. Adjusted-EBITDA was $116.1 million in the second quarter of 2017, a 13.3% increase, compared to the second quarter of last year. Our 940 basis point improvement in adjusted EBITDA margin exemplifies our higher quality of earnings resulting from our system optimization initiative, along with higher franchise fees, driven by our Buy and Flip activity within the quarter. Adjusted earnings per share were $0.15 in the second quarter of 2017, compared to $0.10 in the second quarter of 2016. Our year-to-date free cash flow was $88.5 million, which is more than double the $37.3 million from the first half of 2016. The increase was driven by a reduction in capital expenditures, as well as an increase in cash flow from operations. Our second quarter adjusted EBITDA results continue to highlight the improvement of our quality of earnings as we successfully lapped a significant amount of sold-restaurant-EBITDA from system optimization, as well as a slight headwind from restaurant margin. Our success was driven from the combination of increased franchise revenues, mainly due to higher franchise fees from our Buy and Flip activity and G&A savings. Moving now to adjusted earnings per share, we were able to grow adjusted EPS 50% versus the prior year, with the main driver of the quarter being the year-over-year increase in adjusted-EBITDA, which drove $0.03 of accretion. The rest of the growth was provided by our ongoing share repurchase program as well as some favorability in the tax rate. Returning cash to shareholders remains a top priority for us. Year-to-date, we have repurchased about 3.6 million shares for about $52 million, with 2.3 million shares for $34.6 million occurring in the second quarter. In addition, we estimated our approximately 18.5% interest in Arby's is valued around $345 million, which is an increase compared to the prior quarter. This increase is driven by a combination of strong performance by Arby's and an increase in valuation multiple. We ended quarter two with $205 million of cash in our balance sheet, which along with continued free cash flow growth, provides us the ability to effectively and consistently return cash to shareholders. We remain confident in our capital structure, which gives us the ability to return cash to shareholders, while still investing in our business to drive future growth. As you know, all of the funded debt within our capital structure is made up of fixed-rate instruments and we continue to target leverage in the range of 5 to 6 times. On a trailing 12-month basis, our leverage ratio currently sits comfortably at 5.3 times. Now, let's take a look at our 2017 outlook. Following the quarter-one update, we have experienced additional headwinds in our commodity outlook, primarily in beef and bacon prices. We're now expecting commodity inflation of approximately 3% to 4%, which is an increase from the previous outlook of 1.5% to 2%. Given the additional pressure on commodities, we moved forward with a 1% selective menu price increase in company restaurants that was effective in the back-half of the quarter. The net effect of higher commodities offset by the tailwind from pricing has resulted in a decrease in our restaurant margin outlook from approximately 18.5% to 18% to 18.5%. As we strive to continually improve our quality of earnings, we have been inserting ourselves into the middle of leases as we complete Buy and Flip transactions. A portion of this new leases, are driving our net rental income higher. We now expect net rental income of approximately $100 million to $105 million, which is up from the $95 million that was disclosed at Investor Day. Due to the net impact of the updated outlook for restaurant margin and net rental income, we are increasing our adjusted-EBITDA guidance to $404 million to $410 million, which is up from our previous guidance of $400 million to $406 million. However, the increase in adjusted-EBITDA does not flow through to adjusted-EPS, as our expectations for interest expense and depreciation have increased. The increased interest and depreciation is being driven by new capital leases coming out of the Buy and Flip activity in the quarter. We are pleased with our first-half results and look forward to carrying this positive momentum through the rest of the year. And with that, I'll hand the presentation back over to Peter, before we open up for Q&A.
Peter Koumas - The Wendy's Co.: Thanks, GP. I'd like to quickly review some upcoming events on our Investor Relations calendar. On Wednesday, August 16, Lauren Cutright and I will be in New York for the RBC IR Day and a couple of days later on Friday, August 18, GP, Lauren and I will be in San Francisco for a one-day roadshow hosted by Matt DiFrisco of Guggenheim. On Tuesday, August 29, we will be travelling to Chicago for a one-day roadshow hosted by Jake Bartlett of SunTrust. In September, we will be attending the CL King Best Ideas Conference in New York, as well as the Wells Fargo Restaurants Forum in Boston. On Wednesday, September 28, our senior management team will host a market visit here in Dublin, sponsored by Karen Holthouse of Goldman Sachs. If you're interested in meeting with us at any of these events, please contact the respective sell-side analyst or equity sales contact at the host firm. And finally, on Wednesday, November 8, we'll release our third quarter earnings and host the conference call. With that, we are now ready to take your questions.
Operator: Your first question comes from the line of Matt McGinley of Evercore ISI.
Matthew Robert McGinley - Evercore Group LLC: Good morning. My first question is on the margin dynamic, as it played out in the company stores. You called out labor and investment in chicken in this quarter as the headwinds, but the guide implies that the rate of margin decline is better in the back half, but obviously commodity outlook got worse. What are you doing differently with labor in the back half to help? Or is that just a function of the compares?
Gunther Plosch - The Wendy's Co.: Thanks, Matt, this is Gunther. Yes, it's a function of comparison, right. So on a year-to-date basis, margins sits at 18.2%, is kind of in the mid-range of the guidance we have just updated. And if you then look, last year, the second-half margin was sitting at around 18.6%. You can expect that we're going to be slightly down versus prior year with a slightly different kind of shape. What you're going to see is a little bit more inflationary headwinds on commodities since beef in the third and fourth quarter is going to go up, and actually less headwinds on labor since a lot of the minimum wage increases in our restaurant has been put into place kind of in the beginning of the third quarter of last year. And obviously, last but not least, as we noted in the release, we've taken pricing in the backend of the second quarter that also helps the margin picture.
Matthew Robert McGinley - Evercore Group LLC: Okay. And on the franchise fees, I assume most of that franchise fee increase came from the Buy and Flips of the – I think you did 116 in the first quarter and then 294 in the second quarter. Should we just kind of take the run rate on a per-store basis and look at that last kind of 65 or so that you have to do in the back half, is the way to model that? Or is there something else that would be in there in those quarters?
Todd A. Penegor - The Wendy's Co.: No, Matt. This is Todd, you could look at it that way, right. So, we've got the 410 to-date. We've guided the 475, you can see what kind of fees come along with those 410 restaurants. So you could model that out in the back half of the year.
Matthew Robert McGinley - Evercore Group LLC: Okay. Great. Thank you.
Operator: Your next question comes from the line of Gregory Francfort of Bank of America.
Gregory R. Francfort - Bank of America Merrill Lynch: Hi, guys. Just one question, on the DavCo units, are you getting in the middle of the leases? That's just a quick question. And can you talk about the, just the overall beef cycle, what your thoughts are on it? And is that what's driven, I guess, the changes in the emphasis on the 4 for $4? And how do you think about some of your maybe value platforms?
Todd A. Penegor - The Wendy's Co.: Yeah. So, on the DavCo transaction, we did get in the middle of the leases. And we become the prime and the sublease, and it's creating some additional rental income as well as rental expense. And you could see that in our guidance, we did call up the year on net rental income. So that's the answer on the DavCo transaction. As we think about where beef has gone, there was a lot of demand, especially at retail, with a lot of pricing as you've got into the second quarter. And we did see a spike on beef prices. We've seen beef prices now gradually come down in the back half of the year, we're buying our beef, right now, for the fourth quarter of the year. And we've seen a continued decline, all contemplated in the guidance that we have, but that didn't drive our decision on what we did in our 4 for $4. I mean as we looked at taken the Double Stack out, that was part of our plan along the way, we wanted to continue to keep news happening around 4 for $4, but Double Stack in, created news, took it out and we took it out at the time when we plan to move to $0.50 Frosty. So we wanted to continue to have a strong high-low message. And that became the strong high-low message. So we're out there now today with a $0.50 Frosty, complemented by the Bacon Queso Trio, the Hamburger, the Chicken Sandwich and the top fries.
Gregory R. Francfort - Bank of America Merrill Lynch: Awesome. Thank you.
Operator: Your next question comes from the line of Jake Bartlett of SunTrust.
Jake Rowland Bartlett - SunTrust Robinson Humphrey, Inc.: Great. Thanks for taking the question. Mine was around the Double Stack and the removal, I know there were some investor concern that, that would – I think it had been – the impression is it had been helping drive traffic. When you remove that, can you share any just – any commentary about what happened to traffic when you removed that promotion?
Todd A. Penegor - The Wendy's Co.: Hi, Jake. We as you look at putting anything into Double Stack or into the 4 for $4, promotion, you create some news. And that's what Double Stack did, it gave us an opportunity to keep the message fresh and ownable. And you do see a slight uptick in mix when you bring things into that portfolio. But what we've seen is because we've been consistently out there with 4 for $4, it settled into a pretty consistent mix across our portfolio quarter-after-quarter-after-quarter. So it's really playing a role on our menu price architecture. And we feel good that that we're continuing to bring in the right amount of transactions with the core message on that 4 for $4, supplementing with other news like the $0.50 Frosty, but continue to play our game on a high-low message, that really helps, put us in a position to bring in more customers more often. You look at where we tracked as a system in Q2, customer counts were flat again against a tougher industry dynamics. We felt good about that.
Jake Rowland Bartlett - SunTrust Robinson Humphrey, Inc.: Great. And you usually don't share kind of quarter-to-date, but any commentary you could give us whether there was a deceleration with the removal of the – I think that's a concern with investors, if you want to address that with the removal of the Double Stack?
Todd A. Penegor - The Wendy's Co.: If you look at the third quarter and how we started the third quarter, we feel good that we've got nice strong messaging with a Bacon Queso Trio, really across our full line-up with a hamburger offering, a chicken offering, and a top fry, complemented by a $0.50 Frosty messaging to drive traffic into the restaurants. We know that the $0.50 Frosty performed quiet well last year. And when we have a nice high message, really accentuating the positives of our brand, especially with fresh beef on the hamburger, as well as a real solid value message and Frosty's are iconic and do drive folks into our restaurants. We feel good that we continue to keep momentum going.
Jake Rowland Bartlett - SunTrust Robinson Humphrey, Inc.: Okay. And then lastly, within the context of those questions, in the last, let's call it, seven quarter, it's really the industry has been so value-focused. Is the experience you're having maybe with your premium items in the second quarter, or maybe third quarter to-date, giving you greater confidence that the consumers are listening to the more premium message and responding to that more than they had in the last year or two?
Todd A. Penegor - The Wendy's Co.: We do feel good about that, Jake. Because if you think about where we created a lot of excitement was when we first brought out 4 for $4. And that's really now settled into a pretty consistent mix quarter-to-quarter in our portfolio. The work that we've been doing around our fresh messaging on fresh never-frozen North American beef has clearly helped us continue to grow our premium hamburger business. The work that we did to invest in smaller light-weight-chickens to have a more tender and juicy chicken breast on our sandwiches, has helped us drive our premium chicken business. And then, the messaging that we had especially in the second quarter around salads as we brought news out there with the Fresh Mozzarella Salad, followed it up with the Strawberry Mango Chicken Salad. Now, all core premium items that we continue to drive nice growth on. So we feel good that our investments in quality and telling our message continues to help us drive the high, we'll continue to have a consistent low message. Because our focus at the end of the day is not only bringing in more customers more often, but really being focused on the restaurant economic model to make sure that we can continue to create the profit to stimulate growth for our franchise community.
Jake Rowland Bartlett - SunTrust Robinson Humphrey, Inc.: Great. Thank you very much.
Operator: Your next question comes from the line of John Glass of Morgan Stanley.
John Glass - Morgan Stanley & Co. LLC: Hey, thanks very much. First, Todd, can you just talk about the competitive environment in QSR now, given the labor environment and now, you're getting some commodity inflation? Are you seeing less deals from your competitive set? And how are your franchisees reacting to this? I know, you talked about the strong restaurant economic model, but they're feeling all the pressures you are. Are they talking to you more about how can we enhance their profitability, and what are the answers you're giving them for that? Are they, for example, saying we need to do less on deal or less discounting. What's the dialogue like?
Todd A. Penegor - The Wendy's Co.: Hey, John, the competitive environment still remains very competitive, right. Our biggest competitor is food at home and we got to continue to create compelling reasons to bring folks out of the house and into the restaurants. The great news is the share of all restaurant meals in QSR continues to grow. So we're in the place to be and you're seeing that across us and our competitors, where we continue to bring in more customers, more often. And it really comes down to we're serving a basic need; speed, convenience, affordability. And we are all, across the traditional QSR space, upgrading the quality of our assets, the quality of our food, the quality of our people experience. And we think we can continue to do that and continue to break through. We've had a lot of discussion with our franchise community on what it takes to win. And the biggest leverage that you can have against any of the headwinds that you see, whether it's flavor, whether it's commodities, is bringing in more customers, more often. And our focus is on profitable customer count growth. And that's why we continue to construct our calendar to make sure that we have a nice barbell approach, with the constant message on high, constant message on low, sprinkling in on the high some LTOs as well as some core messaging. And we think that's a playbook that can continue to resonate with the consumer going forward.
John Glass - Morgan Stanley & Co. LLC: Okay. And then just on the Buy and Flip transactions that you did a number early in the year, which means you didn't change your guidance, you don't have as many in the back half. One is, the 475, is that a conservative number or do you see the potential for upside to that? And when you look out in 2018 and 2019 and maybe you've talked about this before, and I'm not remembering it, what do you think the rate of Buy and Flips are sort of on a longer-term basis?
Todd A. Penegor - The Wendy's Co.: John, we've guided in 2018 and 2019 to about 200 Buy and Flips based on the visibility that we have through joint capital planning and the partnership that we have with our franchise community. And also looking at just the tenure of our franchise community where we know they have succession plans and we know what they want to do for the longer run. So, we feel very confident about that into the future. As we look at this year, we had two big transactions in the first half of the year. We've had the DavCo-NPC transaction, which was 140 restaurants, and then we had a transaction with Cedar, which was five transactions across six markets, about 222 restaurants. And as you can imagine, those take a lot of work to make sure you get those restaurants in the right hands of the right operators. Really focused on long-term growth, which is part of the transformation of the franchise community and supporting of the brand transformation to drive growth. As you look into the back half of the year, we've got visibility into what we know today. That's why we feel pretty confident that the guidance is a good point estimate. But we've always get folks come in and having discussions with us. We're at that stage, though, in August of the year, dialog started to try to get more deals done by end of the year. There is probably not a ton of upside to that number.
John Glass - Morgan Stanley & Co. LLC: Okay. And then, why did you raise the net rental income number if you didn't raise the Buy and Flips, was it because NPC had more rental income streams that you captured in that? Why did you raise that guidance if the Buy and Flips didn't increase?
Todd A. Penegor - The Wendy's Co.: So, we just had better visibility into the spreads that we are creating on the leases, as we got involved in the remainder of the Cedar transactions that happened in Q2, and got involved in the finalization of a deal with DavCo-NPC. So, we had better visibility into what those rental spreads were going to be, and then built them into the forecast for you guys.
John Glass - Morgan Stanley & Co. LLC: Got it. Okay. Thank you.
Operator: Your next question comes from the line of Will Slabaugh of Stephens, Inc.
Will Slabaugh - Stephens, Inc.: Yeah, thanks, guys, had a question on value and your positioning there, can you talk about your mix of 4 for $4 on the menu this period versus where you've seen it in the past and then, how you evaluate Wendy's as a value player now versus where you were before this platform launched, and still after the success that you have, where the opportunities lie to continue gaining value share in the marketplace?
Todd A. Penegor - The Wendy's Co.: Yeah, Will, we haven't given out any specifics on 4 for $4 product mix. But it has settled into a very consistent number. And if you look at the news that we've created on 4 for $4 along the way, right, bringing in the Swiss JBC, bringing in the Chicken BLT, bringing in the Double Stack, that helps keep it fresh and ownable. And any time you bring something in new, you do see a slight uptick on that mix, and then it settles back in. And the great news is, that continues to settle back into a pretty consistent mix over all of the time since we put it into the market. Our job is to continue to work to make sure that we find ways to keep that fresh and ownable and continue to keep it relevant to the consumer. And we've tested a lot of things. And we feel like we've got a nice pipeline of things that we could bring to keep that fresh and ownable into the future. So, we think it's resonating perfectly with the consumer. When you think about getting four items for $4 and think about the value that that creates in the consumers' mind between having fresh never-frozen North American beef, great tasting nuggets, fries, and a drink, it does get folks to come out of the house more often and into our restaurants. So we will continue to find ways to keep it fresh and ownable and have done a lot of testing on that front.
Will Slabaugh - Stephens, Inc.: Got you. And one question on franchisee profitability, if I could, as these guys have faced the same beef strike that you have, have you had any push back on highlighting the 4 for $4 or value in particular, or are we still a long way from that, given that, relatively speaking, beef still is well off its high?
Todd A. Penegor - The Wendy's Co.: Yes, it's still a long way from that with where the beef is in the whole beef cycle. And we've seen beef prices start to moderate year to go (34:36). So it's taken any pressure that might have come on that front. But remember, Will, if you go back to when we thought about launching 4 for $4, beef prices were spiked. And this is going back a couple of years ago now. And we were going to move with 4 for $4, no matter where beef prices were, because what we wanted to do is create a compelling reason to get more customers into our restaurants. And when you look at what we've been able to do with that balanced high-low message, being able to grow hamburger traffic category share growth six of the – I guess, consistently over the last seven quarters, that's a positive. And our franchisees understand that leverage is the biggest thing that they have to drive margin in the restaurant.
Will Slabaugh - Stephens, Inc.: Great. Thank you.
Operator: Your next question comes from the line of Matt DiFrisco of Guggenheim Securities.
Matthew DiFrisco - Guggenheim Securities LLC: Thank you very much. Just a couple of bookkeeping questions here. Did you guys – I didn't hear it if you mentioned, what the industry was growing out? You mentioned you outperformed, but what was your – your 3.2% was in relation to what for that time period?
Todd A. Penegor - The Wendy's Co.: So on an industry perspective, Matt, we didn't talk about it, but as we look at the industry on traffic, it's relatively flat and we've seen that for a while. Now, you're seeing a couple of points of pricing that's consistently coming through. So we feel good that we continue to bring in more customers, more often. If you look at what we said in the release, we said that we're now seven consecutive quarters of hamburger category traffic share growth. So last quarter, we said we had six growing. This quarter we said we had seven, where we've been flat to growing. So, I'd say, we were flat on category share in the second quarter. But remember that's the time when there was a lot of competitive activity from the big three, with a big focus on hamburgers. And when you look at our calendar in the second quarter, we did have a focus on hamburger with Baconator and our fresh beef messaging and continue to have pressure on 4 for $4 with Double Stack in it, but we had a lot of focus on our salad offerings in the quarter. Fresh Mozzarella Chicken Salad earlier in the quarter, seasonal Strawberry Mango Chicken Salad later in the quarter, so we felt very good about that share of performance. And now we're right back on a nice message with a high-low, especially with the high focused on our core items with the Bacon Queso Trio, chicken and hamburgers.
Matthew DiFrisco - Guggenheim Securities LLC: Excellent. Did you guys see anything also, if you could comment, was weather at all a factor or the timing of 4 July, I know it's the first couple of days of this current quarter, but is there anything you want us to calculate into our models in consideration of maybe some people taking that as a holiday where it was maybe a little bit more work-oriented last year?
Todd A. Penegor - The Wendy's Co.: Yeah. Nothing material, Matt, that we would have seen in a weather -the holiday timing or weather impacts in the quarter that would have been a positive or negative.
Matthew DiFrisco - Guggenheim Securities LLC: And then lastly, can you give us a timeframe of delivery, how should this – I mean, what discussions have you had with the franchisees as far as introducing it into certain markets, or doing it in both company and in a franchise markets and seeing how it would evolve and your timing of when potentially it could be a national – covering your national base?
Todd A. Penegor - The Wendy's Co.: Hey, Matt. I don't want to tip the hand on when we're going, but we've clearly seen positive results in our tests in the Dallas market and in the Columbus market. As we said in the prepared remarks, we've seen the most transactions happen at lunch, but biggest growth late night. And a lot of the business is incremental, it's a higher check. And we're not seeing a ton of operational complexity from our perspective. So we will move as quickly as we possibly can to do that, but we also want to do it in a fashion that works best for all parties. Works for the company and the franchise economic model, works with the consumer economic model as they look at value for a delivered offering. And then to make sure that we've truly got things integrated into technology in our restaurant operating model. So we're working on all of those three things, but it's something that we can scale up relatively fast and that's where we would want to go.
Matthew DiFrisco - Guggenheim Securities LLC: Excellent. Thank you.
Operator: Our next question comes from the line of Dennis Geiger of UBS.
Dennis Geiger - UBS Securities LLC: Great. Thanks for the question. Maybe just a bit more on that franchisee sentiments, specific to two things really. Anything with respect to pricing, their thoughts on pricing, at least at a high level? And then just building on their interest in all this customer-facing technology, how eager they are on the mobile, on the kiosks, on the loyalty, given everything that you've shared with them, would be great? And then maybe just related to that, any update you could provide on development agreements, commitments? I think you were at about 400 at the end of the first quarter or so, any update on where that sits currently. Thank you.
Todd A. Penegor - The Wendy's Co.: Yeah, Dennis. On pricing, GP had commented in the prepared remarks that or in an earlier question that we'd taken a little bit of pricing in the back half of the year from a company perspective. The franchise community continues to look at opportunistic pricing, but has been very disciplined in working with the company to really leverage all the learnings that we have on where appropriate to take pricing. And what we've been really focused on is the consumer economic model to make sure that that we're very conservative on the pricing that we do take and really protect our pricing power for the future. And that's what we've been doing consistently for the last several years and still happening to this day. Technology, clearly, can play a role to continue to help connect better to the customer. And our franchisees understand that, they're starting to see that as we start to ramp up the testing and the rollouts of things like kiosks and mobile order, mobile pay. From a kiosk perspective, it does create a better customer experience, when you think about nothing getting lost in translation and you're in full control and it accentuates all the customization that we have on our menu, those are all big positives. But what we really see is it actually drives more throughput, we can get more orders into the kitchen, which really then helps the customer economic model. So that's a nice positive. Mobile ordering, we'll continue to supplement and complement that once we condition the consumer how easy a kiosk is, the mobile order is exactly the same function and format the way we've got it set up. So we feel good that franchise sentiment is – profits continue to be quite nice for them. We had really strong profit year last year for the franchise community. We've had a few headwinds this year on labor and commodities, but we continue to pull the right levers with a high-low message to bring in more customers more often to drive leverage first, and then supplement it with a lot of margin activation work that we continue to do to make sure that we get the right balance to continue to hold or expand the margin over time. On the development side, I'll turn it over to GP.
Gunther Plosch - The Wendy's Co.: Yeah. On the development side, you're right. Last time, we told you we had about 400 development commitments. They have not materially increased. We're hovering around staying (41:55) about the same amount.
Dennis Geiger - UBS Securities LLC: Great. Thanks, guys. I appreciate it.
Gunther Plosch - The Wendy's Co.: We still feel confident about development pipeline and the goals that we have from a development point of view. We reaffirmed approximately 1% net new development in North America. And we've increased our new restaurant development in International.
Dennis Geiger - UBS Securities LLC: Thanks, guys.
Operator: Your next question comes from the line of Jordy Winslow of Credit Suisse.
Jordy Winslow - Credit Suisse Securities (USA) LLC: Hi. Thanks. Jordy on for Jason. Thanks for the question. First one on pricing, could you just remind us where you had been running on pricing prior to the most recent increase? And then where overall price should be running in the back-half? And was that price taking consistently across the menu or concentrated in any particular products or platforms? And then I had one follow-up. Thanks.
Gunther Plosch - The Wendy's Co.: Hi, Jordy, this is Gunther. Yeah, we did a price increase of approximately 1% and we basically were selective. So we have a lot of insights in terms of what is price elastic and what is not. And we've, obviously, taken price on the less elastic items to make sure we are protecting traffic as much as we can, but on the other hand, obviously, protecting our restaurant economic model.
Jordy Winslow - Credit Suisse Securities (USA) LLC: Okay. And then, I mean, in 2Q or like first half, could you give us just a range of where the pricing was then? So I mean should it be 1% price in the back half, or did you already have some pricing in place, so it'll step up on a cumulative basis?
Todd A. Penegor - The Wendy's Co.: Yeah. Jordy, what we have facing in the company restaurants, we haven't taken price in the last two years. So it's really the first time, we've taken a price increase. So if you take menu price prior to price increase, cost the average increases by basically 1%, what you take net home, it's been obviously a function in terms of how much elasticity loss you have on this.
Jordy Winslow - Credit Suisse Securities (USA) LLC: Okay. Got it. Thanks. And then on mobile, how material of an investment is that for franchisees?
Todd A. Penegor - The Wendy's Co.: Jordy, mobile investment is actually very, very small. We are making the central investment as a franchisor to actually develop the software and roll it out. There's a couple of small pieces of hardware that has to be installed with franchisees. And probably from a customer flow point of view, the most important thing is to separate order-taking and pick-up to make sure it isn't too crowded inside the restaurant, but small investment.
Jordy Winslow - Credit Suisse Securities (USA) LLC: Okay. Got you. And then just one more on the comps. So in 2Q, pricing is basically flat, I think you said that traffic was roughly flat. What's the big driver of the mix then, that gets you to that 1.7% comp in the quarter?
Todd A. Penegor - The Wendy's Co.: I think, you've got a couple of things, Jordy. You've got one, we've already had 4 for $4 in the base. So you start to think about, it's not new news that would potentially impact mix at all. And we continue to supplement it with some positive high messaging along the way. We had the Baconator with fresh beef messaging going in the second quarter. And we had two strong salads with Fresh Mozzarella Chicken Salad and Chicken Sandwich that complimented it, as well as a Strawberry Mango Chicken Salad in the second quarter.
Jordy Winslow - Credit Suisse Securities (USA) LLC: Got it. Thank you.
Operator: Your next question comes from the line of David Palmer of RBC Capital Markets.
David Palmer - RBC Capital Markets LLC: Thanks, guys. Just a follow-up on value, I know there's been a lot of questions about it, but just to sort of summarize, what I think investors are thinking about is that you've been doing 4 for $4 for a while, you went little deeper with the Double Stack on that, and I think there is just curiosity about whether, particularly in the eve of inflation picking up a little bit, that you feel a pressure to pivot off of that value tier or even, and you mentioned this in the past that you were testing more value constructs, maybe an opportunity to take pressure off margins and find a fresh new value construct in the future. So are you going to possibly make some moves to change how you do the value tier thing?
Todd A. Penegor - The Wendy's Co.: Yeah, David. A good question, I mean, we remain committed to 4 for $4, really resonates with our consumer. And being the first mover, we get a lot of credit that 4 for $4 is really linked into Wendy's. And we will continue to find ways to, first and foremost, keep 4 for $4 fresh and ownable. Moving away from Double Stack, that was all part of the major – part of the plan at the beginning of the year. It was to create some news in the first half, and then really come back with a low message during the summer on $0.50 Frosty. And we had nice success last year with $0.50 Frosty, so we put $0.50 Frosty out there to be on the low message. With the things that we've tested, whether it's 4 for $4 or other value constructs, we feel like we've got a nice pipeline to keep things rolling on that value side of the menu with the supplementing existing programming as well as potentially bringing some new things to market in the future.
David Palmer - RBC Capital Markets LLC: And just on the digital front, I struggled when people were talking about mobile order and thinking about how that will lift things like the drive-through when you just get in the same line as everybody else. Delivery does seem to make sense but that would be a lot better, at least from a consumer standpoint. And how are you thinking about the rollout of all-things digital? And do you share that sense that really delivery is going to be unlocked for digital, and that's going to be the major thing that makes digital incremental for Wendy's? Thanks.
Todd A. Penegor - The Wendy's Co.: Yeah. I think there's a couple of things, right? First, starts with the kiosks, which really can condition the consumer to get comfortable with managing the order themselves. The great news is, it plays to our strength as we start to get into full customization, get to highlight everything that you can do within a Wendy's restaurant. We can really accentuate the food offerings that we have. And we know that we can not only take the order faster, but we can get folks out of the door faster. Over time folks will gravitate, I think, from kiosk to mobile ordering. Mobile ordering, if you got a bigger percentage of folks doing it, could start to speed up the drive-through lane, just getting more orders into the kitchen, which we know have the capacity to manage. But when you get into that digital or the mobile ordering arena, it also allows you to do other things, you get to collect better consumer information, you can provide some more offers, so you can create a little more loyalty. And if you got a loyalty program, which we're going to test in the back half, you can have that complement to full experience. But I think you're right. I think over time as you get into mobile ordering and you work with some of the delivery services that are out there, there is a great complement between what a delivery partner does, what a mobile order does, things like curbside pickup and how that really supports getting food to customers that are looking for delivery as convenience continues to get redefined.
David Palmer - RBC Capital Markets LLC: Thank you.
Operator: Your next question comes from the line of Michael Gallo of C.L. King.
Michael W. Gallo - C.L. King & Associates, Inc.: Hi. Good morning. Two quick follow-ups. First, Todd, what drove the reduction in number of kiosks that you plan to rollout this year? Is it something you saw or was it just timing or something that caused you to reprioritize it? And then also what drove the increase in International unit openings? Thanks.
Todd A. Penegor - The Wendy's Co.: Yeah. So first, Mike, on kiosks, it's really timing. We continue to learn what restaurant is best suited for a kiosk? What trade area best complements the return on the investment? Where should it be placed in the restaurant, making sure that we get separation of order, pay and pickup. So we've got the right flow. So we're building a nice pipeline. I think it's more timing than shifting from 2017 into early 2018. Because the franchisee sees the value, they see the return, but more importantly, they see where we have it in the restaurants today. The consumer really appreciates it, because they create an even better experience in our restaurants. And as I said earlier, it complements everything that we do around customization. So that was the first piece. On the International side, it's really a function of three markets where we're seeing a lot of growth right now. And we've talked about this in the past, focused on narrow and deep. So in Japan, we continue to see a lot of excitement on the First Kitchen conversions. Our partners there are seeing continued nice lift. So the pace of conversions continues. We've had a lot of growth happening in Indonesia. Smaller AUVs, so smaller in the scheme of things, but a good sales to investment and return model for our franchisee in that market. And then one of our other narrow and deep markets, we really coupled Chile and Argentina together with a good partner. We've got some openings happening down there. So, those three markets are really driving some of the momentum that we're seeing in openings. But, more importantly, we're not seeing closures like we've seen in the past. So, we're really connecting better to the customers across the globe and the economics are working in each of the markets for our franchisees in those markets.
Michael W. Gallo - C.L. King & Associates, Inc.: Okay. Thank you.
Operator: Your next question comes from the line of Jeffrey Bernstein of Barclays.
Jeffrey Bernstein - Barclays Capital, Inc.: Great. Thank you very much. Two things, one just on the comp trends and the category in general, I'm just wondering whether you had any thoughts on the recent strength across the big three, I know you mentioned speed, convenience, and I believe, affordability kind of drives QSR, but the fact that McDonald's, Burger King, Wendy's all comping up 3% to 4% this quarter, historically, that's been difficult to sustain. So, I'm just wondering where you think that share is coming from perhaps and whether you think it's sustainable. And others have commented that maybe there was a little bit of a softening of trend later in the second quarter. I didn't know whether you'd have any directional color on that thought. And then, I had one follow-up.
Todd A. Penegor - The Wendy's Co.: Across the second quarter, Jeff, we felt good about the consistency of our growth. So, that wouldn't have been something that we would have seen. And if you go back in history, the Wendy's brand has been more resilient to some of the pressures from the others of the big three, when they're performing well. And it's been a little bit of time since all of the big three's been above 3%, but you can go back to Q2, 2012, Q4 of 2015, Q1 of 2016. So, there has been many times, where the three of us have all grown. And what you're actually seeing is, because we deliver on that need, speed, convenience, affordability and all of three us are doing a nice job on high-low messaging, doing a nice job on continuing to upgrade the quality of the food, quality of the asset, and the quality of the people experience. We are good value to that food at home consumer. So, we can continue to attract those folks along the way. And if you look at some of the share trends across large chain, small chain and independents, and we get a lot of questions on those. If you look at an independent, probably less than three locations, small chain has more than three, and then large chains, think of them as the top 100 QSRs. Over the course of the last three months in the last year, the traffic share continues to grow in the large chains. And a lot of that is we have a better chance to offset a lot of the headwinds out there, labor, commodities, rents, as we create some scale. And that's the power that we have to continue to drive a strong economic model to make sure that that's working to complement having the appropriate pricing and offerings across our menu to support the consumer of today.
Jeffrey Bernstein - Barclays Capital, Inc.: Understood. And then just to make sure I understood from a second quarter perspective on the EBITDA. And it came in at a $116 million adjusted, that was clearly well-above The Street, it looks like by $9 million. Just wondering where that was versus your internal, because we often get questions, the full-year guidance is only raised by 4%, but you beat the second quarter by 9%. I get the feeling that's more just the cadence of the quarters and maybe The Street mis-modeled it, since you didn't guide it. But I'm just wondering where that second quarter was versus your perhaps estimate starting in the quarter?
Gunther Plosch - The Wendy's Co.: Hi, Jeff, this is Gunther. No, it came in, in line with our estimates, right? We have no surprise really, right? And we had versus The Street, we had a lot of Buy and Flips, but, as you can see in our prepared remarks, we have not increased our Buy and Flip trajectory for the year, which basically tells you we have expected that. We actually thought, as we filed the 8-Q in the DavCo transactions, that some of the analysts would actually follow this and actually increase the estimates in the second quarter, but it didn't happen.
Jeffrey Bernstein - Barclays Capital, Inc.: Understood. Thank you.
Operator: Your next question comes from the line of Sara Senatore of Bernstein.
Sara Harkavy Senatore - Sanford C. Bernstein & Co. LLC: Hi, thank you. A few follow-ups, if I may. So first, I just wanted to ask about the idea of inserting yourself in more leases. So I guess what are the implications for things like the proceeds from refranchising, or the multiples that franchisees are willing to pay since presumably the economics to them are slightly less attractive, if you're taking a little bit of a sliver off the top from the lease payments? And I guess on related, what are you thinking about in terms of your long-term goal? And is this sort of like McDonald's, where ideally you own or are the master lessee on all of the properties? Or I guess trying to figure out how to think about the – over time the shift in franchise royalties. And then I have a couple more.
Gunther Plosch - The Wendy's Co.: Hi, Sara, this is Gunther. Every deal, every Buy and Flip deal that we do is different, right. The underlying premise why we go into this is really we want to find a great new buyer that has passion for growth, is a great operator and has financial strength. So as we go through these negotiations to try to make the deals happen, sometimes it makes sense for all parties to insert ourselves into the leases. Sometimes you have the advantages that The Wendy's name is on the lease that helps with banking negotiations and the rights. You're right, it might create slight headwinds on the margin structure, as we are in the sandwich lease, (56:42) but it is part of the overall package, right. We have been very, very consistent and fair to actually broker deals that are being sold at fair market value and fair EBITDA multiples, to make sure that nobody, whenever they buy markets, are getting underwater and stressed from a financial point of view, because we want to make sure that nothing we do is hampering future financial visibility and growth for franchisees.
Sara Harkavy Senatore - Sanford C. Bernstein & Co. LLC: Okay. Thank you. And then just two more questions that are follow-ups. One is, on the digital side, mostly we hear about it as a revenue driver. Are there any implications for labor just in terms of a way to offset wage inflation? And then secondly on related question, we've heard from others that delivery growth is also fastest in the evening, which is great for leveraging the assets, because it tends to be a slightly slower day-part. Do you have any sense of is this coming from food-at-home occasions or maybe from non-hamburger restaurants that previously offered delivery and now consumers are substituting as there are more options? Thanks.
Todd A. Penegor - The Wendy's Co.: Yeah. And on the first phase of digital is really about creating a better customer experience and driving more throughput. As we condition more and more consumers and have more folks leveraging the digital assets to order on some of the non-peak day-parts, you might have some opportunities to have some other registers not open, but we can then use some of that labor if we wanted to create a better customer experience out in the front of the restaurants. So, lot to think about whether it creates labor savings or not and how we want to play that over time, but it will give us some options. As you think about where delivery has gone, it's early in the testing cycle and we're seeing a lot of incremental sales and not a lot of complexity especially at late night. My guess at this early stage is it's just taking from food-at-home meals because we're creating more convenience, but we're going to have to scale up and learn more to figure out where that source of volume is over time.
Sara Harkavy Senatore - Sanford C. Bernstein & Co. LLC: Okay. Thank you.
Operator: Your next question comes from the line of John Ivankoe of JPMorgan.
John William Ivankoe - JPMorgan Securities LLC: Hi. Great. Thank you. Way back in your prepared remarks, you gave a statistic about consumers of Wendy's, I think, understanding or appreciating fresh beef, I don't have the exact language in front of me, but that went from three out of 10 customers to five out of 10 customers. So, I wanted you to kind of elaborate on that, especially in the context of your largest competitors McDonald's having fresh beef and consumers do care about fresh beef, whether there is a potential shift from business from Wendy's to McDonald's. And if it's at all appropriate to talk about, was there any impact in the Dallas market? Obviously, understanding that Dallas is coincidentally one of the market site you're testing delivery, did you see yourself competitively susceptible at all based on McDonald's making such a substantive change to their cooking platform?
Todd A. Penegor - The Wendy's Co.: Yes. John, our big insight when we went back about 18 months ago was as much as we gave ourselves credit for thinking consumers really understood that we had fresh never-frozen beef in our restaurants, the consumer wasn't feeling the same. And that's when we really started our messaging around sourced so close to the restaurant, it never needs to be frozen and fresh is for now and frozen is for later. And just continue to have messaging on big stages around fresh. And the great news is we're creating more awareness, we're up to five of 10, and we're seeing it impact our premium hamburger business. So, we're seeing growth in premium hamburger. So, that's all a positive. And we think we can continue that momentum. And the great news is we offer fresh never-frozen North American beef across our whole line up, whether it's premium or value, always have, always will, and we've got competitors coming with just one line over time. And as they create more awareness to fresh, my sense is we'll probably have a bigger halo back to Wendy's being the original fresh and supporting all of our products. So, I think it could be more of a positive than the negative. I worry about, the other guys that aren't playing in fresh, quite honestly, but they're going to have to manage a lot of complexity, too. We've been doing this for almost 48 years and we understand the complexity from the supply chain, and the complexity within the restaurant, how do you handle, how do you cook, how do you hold, all of those things are very important along the way. And in Dallas, what we've been seeing is really positive results for our business relative to the category. So, we feel good that we haven't seen an impact in that market. And it's just creating more awareness on fresh, and a lot of the dialogue becomes about Wendy's being fresh.
John William Ivankoe - JPMorgan Securities LLC: That's great color. Thank you.
Operator: Your next question comes from the line of Jon Tower of Wells Fargo.
Jon Tower - Wells Fargo Securities LLC: Hi, thanks. Many of my questions have been answered, but just wanted to add a few more. So first, I may missed this, but what was the food cost inflation in the quarter?
Gunther Plosch - The Wendy's Co.: Food cost inflation was about 4%.
Jon Tower - Wells Fargo Securities LLC: Okay. And then looking at, I know you talked a bit about delivery in this call, but thinking about the adoption of it, and what do you think the greatest governor is to adoption, it sounds like the operation side, you feel pretty good about. So, is it people, technology, or is it maybe even having the right third-party delivery partners with you?
Todd A. Penegor - The Wendy's Co.: I think it starts with the value proposition to the consumer, right? Are they willing to pay the price for the additional surcharge for delivery for that convenience? So, it will start there from a consumer economics model, and then it will quickly gravitate to the quality and the integrity of food, is it hot, is it fresh, because my sense is the consumer will give you some forgiveness upfront, if those French fries aren't as crisp as they should be, or the Frosty's a little softer than it might have been at the restaurant, but over time, the folks that are really break through, will be folks that can get the food there at the quickest, the hottest, and the freshest, because that's what's going to drive worth what you pay from a value metric. And then you can grow into whatever additional charge may happen along the way from a consumer economic model perspective.
Gunther Plosch - The Wendy's Co.: Hey, Jon, this is Gunther again. And just to go back on your inflation question, right? So the inflation was 100 basis points in the quarter. It was all basically not really inflation, it was an investment related to the chicken quality, in essence that kind of paced out to be about 3%.
Jon Tower - Wells Fargo Securities LLC: Okay. And then, following-up to Sara's question earlier, just thinking about the rental, the net rental income over time. How should we think about that? Obviously it's a step up because of the transaction you had with NPC earlier this year or in the second quarter, but how should we think about that growing? Should it grow with the Buy and Flips over the next couple of years or?
Gunther Plosch - The Wendy's Co.: Really it's a great question, right? And it's tough, tough to estimate, while if you step back, as you went through system optimization one, two, and three, we kind of monetized literally 78% of all our assets, so the brunt of it is all done. But as we've demonstrated again, as we work through Buy and Flip transactions, if the opportunity is right for us, you can create net rental income upside, but it's really going to be a function of is it right for the respective deals. So I would definitely model, very, very moderate increases from where we are now. Nothing material is going to change.
Jon Tower - Wells Fargo Securities LLC: Okay. Great. That's it from me. Thank you.
Operator: Our next question comes from the line of Andrew Strelzik of BMO Capital Markets.
Ryan Royce - BMO Capital Markets (United States): Hi, and thanks for taking the questions. This is actually Ryan Royce on for Andrew. You mentioned in your prepared remarks about how your investments in the chicken quality had been driving premium chicken sandwich business. Can you just give a little color as to what you're seeing there in terms of customer feedback or mix of the premium sandwiches?
Todd A. Penegor - The Wendy's Co.: Yeah, Ryan. So we've seen the consumer complaints come down by more than 50%. And it's really creating a more tender and juicy fillet, so that's been a big positive. And if you look at where our premium chicken sandwich business is, it's growing in the low-single digits. So we feel really good about that, especially with an industry backdrop of more handheld chicken growing than sandwich chicken growing, so we feel like that we continue to breakthrough on that front. So, a good investment, and always opportunities to be better, but so far, so good.
Ryan Royce - BMO Capital Markets (United States): That's helpful, thanks. And then as you think about reinforcing your quality halo, are there any other areas of the menu where you think about investing in quality there, can you help me think about the thought process on a go forward basis?
Todd A. Penegor - The Wendy's Co.: Yeah. If you think about our core items, Ryan. We'll continue to figure out how we make our food even better, chicken was a first step, hamburgers we've already done a lot of work on moving back into more of the original bun, original mayo, putting chicken and hamburgers in foil wrap, but we're not going to stop on the journey on either of those two to continue to make sure that, our premium chicken is as tender and juicy as it should be, that we have our hamburger is hot, and it's juicy and as melted cheese across the top of them as they possibly can be. And we all know, across the industry that we've got to continue to find ways to improve the quality over time of our french fry, hot, crispy, consistently salted, so those are big three core items that can help differentiate on the quality. So that's the work that we'll continue to do and for us it's going to be to continue to scream our message from the rooftops, fresh never-frozen North American beef and really all the fresh that we have in our restaurants, so when you're thinking we're bringing in whole heads of lettuce and fresh cutting all of our vegetables every single day and having full customization, everything that technology can complement, helps really bring that freshness cue to life, and we think that's a nice advantage to where we play with the history of our brand.
Ryan Royce - BMO Capital Markets (United States): Great. Thank you, very much.
Operator: Thank you. That was our final question. We thank you for participating in today's Wendy's company second quarter 2017 earnings conference call. You may now disconnect.